Operator: Hello and welcome to the Hospitality Properties Trust Second Quarter 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead ma’am.
Katie Strohacker: Good afternoon. On today’s call, John Murray, President and CEO; and Mark Kleifges, Chief Financial Officer, will make a short presentation, which will be followed by a question-and-answer session with analysts. Please note that the recording, retransmission and transcription of today’s conference call is prohibited without the prior written consent of HPT. I’d like to point out that today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on HPT’s present beliefs and expectations, as of today, August 9, 2018. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today’s conference call other than through filings with the Securities and Exchange Commission, or SEC. In addition, this call may contain non-GAAP financial measures, including normalized funds from operations, or normalized FFO. A reconciliation of normalized FFO and adjusted EBITDA to net income as well as components to calculate AFFO are available in our supplemental package found in the Investor Relations section of the company’s website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained in our Form 10-Q to be filed later today with the SEC and once again in our supplemental operating and financial data found on our website through www.hptreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. And with that, I’ll turn the call over to you John.
John Murray: Thank you, Katie. Good afternoon. This morning, we reported second quarter normalized FFO of $1.07 per share, an increase of 0.9% compared to $1.06 reported in the second quarter of 2017 due primarily to increased minimum rents and returns resulting from prior year hotel acquisitions and owner funded capital improvements at our hotels and travel centers and improved operating performance at our comparable Sonesta portfolio. Starting with performance at HPT’s travel centers, total margin increased by $9.7 million or 3.1% in the second quarter due to a $12.6 million or 5.2% increase in non-fuel margin, offset by a $2.8 million or 4% decline in fuel margin due to modest fuel volume declines and lower per gallon fuel margins in the 2018 second quarter. Site level operating expenses increased $1 million or 0.5% compared to 2017. Mark will provide more details on these changes in a moment. Property level rent coverage for the quarter was 1.69 times, up from 1.6 times in last year's quarter despite HPT's rent increasing 2.5% compared to 2017 due to our increased investments. Turning to performance at HPT's hotels, second quarter 2018 comparable RevPAR increased by 2% versus the 2017 quarter, driven by rate growth. A relative underperformance versus the industry average reflects a combination of HPT's hotel rooms being concentrated in the upscale, chain scale which had the lowest RevPAR growth of all chain scales this quarter, new hotel room supply growth and an increased number of hotels under renovation. Comparable GOP margins were relatively flat versus the 2017 quarter at 43.7%, as increased food and beverage profitability and lower IT expenses were offset by increased wage and benefit costs. Aggregate coverage of annual minimum returns and rents at all of our hotels was 1.22 times this quarter, down from 1.26 times in 2017. All the comparable hotel renovations were soft good [ph]renovations to refresh lobbies and guest rooms and were funded from our FF&E reserves. Factors that positively impacted second quarter results included strong performance at our comparable full-service hotels, which benefited from improved group demand and increases in food and beverage revenues, in particular at our IHG Wyndham and Sonesta portfolios. Faced with only modest RevPAR growth in the 2018 quarter, our operators did a nice job of controlling expenses to help maintain margins. Our comparable Sonesta portfolio grew RevPAR 3.4% this quarter, led by occupancy increases of 2.5 percentage points. Group revenue growth increased significantly at our comparable Sonesta portfolio in both the full service and extended stay portfolios. Performance was driven by ramp up from the extended stay hotels that were acquired in 2015 and subsequently renovated. These hotels increased RevPAR by 5.9%. Comparable Sonesta portfolio GOP margin percentage improved by a 145 basis points and cash flow available to pay our minimum return increased 5.3%. IHG's comparable hotel RevPAR increased 2.3%, driven by a 4.1% increase in rate, partially offset by 1.5 percentage point decrease in occupancy. Excluding the Anaheim Holiday Inn, which had a pipe burst that caused 177 rooms to be out of service, our comparable full service portfolio outpaced the industry this quarter with 5.3% RevPAR growth, partially offset by supply driven weakness at our Candlewood extended stay hotels where RevPAR increased 0.2%. Comparable portfolio GOP margins remained strong at 44.8% and coverage was relatively flat from last year at 1.32 times. Our Marriott 234 portfolio RevPAR increased 1.6%, while GOP margin percentage was approximately flat from last quarter. Supply growth, non-repeat group business at certain TownePlace Suite hotels, and renovation activity negatively impacted growth this quarter. Coverage of the required annual returns at this portfolio is 1.3 times for the quarter, unchanged compared to coverage this time last year. Our Marriott Number 1 portfolio RevPAR increased 1.3% year-over-year, lagging the industry average, primarily due to hotel renovations and supply growth in the Boston and LA suburban markets. HPT's asset managers and Marriott are currently engaged in strategies to increase sales support in the Boston market and yield optimization in the LA market. At 1.52 times coverage this quarter, Marriott No.1 remains among our best covered agreements. Our Wyndham portfolio RevPAR decreased by 2.9%. Wyndham is investing in certain marketing measures to drive more business through its own brand platform and reduce reliance on higher costs OTA channels. This caused retaliatory OTA dimming, which coupled with re-corporate negotiated demand and supply growth resulted in RevPAR declines at the full service hotels and our Hawthorn suites. We believe these OTA challenges have now largely been resolved and with the spinoff and La-Quinta transactions completed, we hope to see renewed focus on our portfolio. During the three months ended June 30th 2018, Wyndham continued to pay HPT 85% of the minimum returns due under the management agreement for approximately $1 million less than the contractual amounts due. Our comparable Radisson portfolio experienced a RevPAR decline of 0.6%, driven by occupancy declines of 2.5 percentage points, offset by rate increases of 2.8%. Renovation displacement in San Diego and Brooklyn Center accounted for the weaker performance. Excluding these two hotels, RevPAR would have exceeded industry RevPAR gains, led by strong group revenue growth. HPT's asset management team is working with Radisson on yield management plans to limit displacement on the remaining six hotels that will undergo renovations in the near future. So that post renovation, they can share shift -- they can shift share and maximize rate lift. Turning to investment activities, on May 8, the lease agreement of the Clift hotel was terminated. Morgans surrendered possession of the hotel to HPT and it was rebranded as the Clift Royal Sonesta Collection hotel and added to our management agreement with Sonesta. This hotel is in need of a significant renovation, which is scheduled to begin later this year and continue into 2020. In June, HPT acquired a 360 room Radisson Blu Hotel in Downtown Minneapolis for $75 million and added it to HPT's management agreement with Radisson. The hotel features 29,000 square feet of flexible meeting and event space and the FireLake Grill House and Cocktail Bar. This hotel is the flagship for the Radisson Blu brand in the United States. This acquisition increases our Radisson portfolio to nine hotels and materially improves its quality. Also in June, HPT acquired Staybridge Suites extended stay hotel with 117 suites in Baton Rouge, Louisiana for $15.75 million and added it to our management agreement with IHG. This hotel is located adjacent to the LSU campus, walking distance to many local restaurant and is five miles from Baton Rouge’s convention center. Looking ahead, our managers continue to project that for 2018, we will experience growth through rate improvement such that comparable RevPAR will increase 1% to 2% with GOP margin percentage in the flat to down 50 basis point range, largely due to increased wages and benefit costs. We will continue to see supply growth, renovation impact and wage related cost pressures. The combination of active asset management, strong brands, good locations and continued regular capital investment give us confidence that our operators will meet their projections. I'll now turn the call over to Mark.
Mark Kleifges: Thanks, John. Starting with the performance of our travel center investments, property level EBITDA in the 2018 second quarter was 7.8% higher than the 2017 quarter, due primarily to increases in non-fuel revenues and non-fuel gross margin percentage. For the quarter, fuel gross margin decreased by $2.8 million or 4%, primarily as a result of a slight decline in fuel sales volume and a lower per gallon gross margin in the 2018 second quarter. The fuel volume decline was due to the continued effects of fuel efficiency gains and increased competition, partially offset by PA’s fuel pricing and marketing strategies, while the decline versus the prior year in cents per gallon margin was due primarily to higher loyalty program costs. Non-fuel travel center revenues increased 3.8% versus the prior year, due primarily to growth in truck service and reserve parking and non-fuel gross margin percentage increased 80 basis points from the prior quarter to 60.9%. As a result, our travel centers grew non-fuel gross margin $12.6 million or 5.2% versus the 2017 quarter to $255.7 million. And non-fuel sales generated approximately 79% of total gross margin dollars of our travel centers in the quarter. Site level operating expenses one half a percent versus the prior year, due primarily to increased labor costs associated with the increase in non-fuel revenues. Second quarter property level EBITDA of our travel centers increased by approximately $8.7 million or 7.8% compared to the second quarter of 2017. Annual minimum rent coverage under our travel center leases was a strong 1.69 times for the second quarter compared to 1.6 times last year. Turning to operating results at our 305 comparable hotels this quarter, RevPAR increased 2%, GOP margin percentage increased by 8 basis points and cash flow available to pay HPT's minimum returns and rents increased by 1.3%. The 2% increase in RevPAR this quarter resulted from the 2.5% increase in ADR, partially offset by a one half percentage point decrease in occupancy. Excluding the impact of 11 hotels under renovation during the quarter, comparable hotel RevPAR growth was 2.3%. The portfolios with the highest RevPAR growth this quarter were our comparable Sonesta semester and comparable IHG portfolios with increases of 3.4% and 2.3% respectively versus the prior year quarter. Our Wyndham and comparable Radisson portfolios had the weakest RevPAR performance with declines of 2.9% and 0.6% respectively versus the prior year quarter. Our Radisson portfolio had two hotels under renovation during the quarter. GOP margin percentage for our comparable hotels increased 8 basis points from the 2017 quarter to 43.7% and gross operating profit increased approximately $6.1 million or 2.7% from the 2017 second quarter. Of our portfolios, the comparable Sonesta and Hyatt portfolios had the largest increases in GOP margin percentage in the quarter, up 145 basis points and 96 basis points respectively, while our Wyndham and Marriott No. 1 portfolios had the weakest margin performance in the quarter with GOP margin percentage down 409 basis points and 34 basis points respectively versus the 2017 second quarter. The growth in gross operating profit for our comparable hotels was partially offset by the $3.9 million or 6.7% increase in below the GOP line costs, resulting in a $2.2 million or 1.3% increase in cash flow available to pay minimum returns and rents versus the prior year quarter. The increase in below the GOP line expenses was due primarily to higher real estate taxes and insurance costs. The two portfolios with the largest percentage increases in cash flow were our comparable Sonesta and Hyatt portfolios with increases of 5.3% and 4.4% respectively. The two portfolios with the largest percentage declines in cash flow were our Wyndham and comparable Radisson portfolios with decreases of 16.7% and 3.6% respectively. Cash flow coverage of our minimum rents and returns for our 305 comparable hotels improved slightly to 1.28 times for the 2018 quarter, compared to 1.27 times for the prior year quarter. Coverage for all 325 of our hotels declined to 1.22 times from 1.26 times in the prior year quarter due to 14 of our 20 non-comparable hotels undergoing renovations for all or part of 2018 quarter. With coverage for the 2018 quarter above one times for all the two of our agreements, the balances of available security deposit and guarantees were replenished by $15.7 million during the quarter. The balance of available security deposits and guarantees at quarter end was $227.4 million. Turning to HPT’s consolidated financial results. Normalized FFO was $176.2 million in the 2018 second quarter compared to $173.6 million in the 2017 quarter. Normalized FFO per share was $1.07 for the second quarter, an increase of $0.01 or 0.9% from the 2017 quarter. This increase was due primarily to the $8.6 million or 4.2% increase in minimum returns and rents, partially offset by $2.2 million decline in additional returns and a $3.6 million increase in interest expense. Adjusted EBITDA was $226.9 in the 2018 second quarter, a 3% increase from the 2017 quarter. Our adjusted EBITDA to total fixed charges coverage ratio was 4.7 times for the quarter and debt to annualized adjusted EBITDA was 4.6 times at quarter end. Turning to our capital improvement fundings and commitments, we funded $25.1 million of hotel improvements and $15.7 million of travel center improvements in the second quarter. For the remainder of 2018, we expect to fund approximately $145 million of hotel improvements and $22.8 million of travel center improvements. The majority of these improvements are expected to be funded from operating cash flow. We plan to have 29 hotels under renovation for all or part of 2018 third quarter, 15 of which are comparable hotels. Turning to our balance sheet and financing activities, as of quarter end, debt was 41.2% of total gross assets and we had $89.8 million of cash, including $73.3 million of cash escrowed for future improvements to our hotel. In May, we amended the credit agreement governing our $1 billion unsecured revolving credit facility and $400 million unsecured term loan, resulting in a 10 basis point reduction of the LIBOR premium on borrowings for both the credit facility and the term loan and extension of the maturity dates to 2022 and 2023 respectively. At quarter end, we had $122 million outstanding on our credit facility and no debt maturities until 2021. Operator, that concludes our prepared remarks. We'd like to open the call up for questions please.
Operator: [Operator Instructions] And the first question comes from Bryan Maher with B. Riley FBR.
Bryan Maher: Regarding Morgans and the Clift property, are you just done with them now? Like, there's no more Morgans, we need to read about in the releases or in the supplementals.
John Murray: That's correct, yes.
Bryan Maher: And then regarding that property, what type of renovation work is going to be done and how much do you think you'll spend and how long do you think it'll take.
John Murray: The renovation will be extensive. There's a significant amount of façade work, building systems work, public space and guest room renovations. So we expect to start with model rooms later this year. We've already been through the planning for that, so that they're in the process of ordering the materials and building out the model rooms. And – but because of how extensive it is, probably it won't be completed until sometime 2020. The permitting process is long and complicated in San Francisco as well, so that's currently our best estimate. And we think that, we're still working on developing the budget, a lot of the building systems are still being evaluated, but it's going to be at least $60 million.
Bryan Maher: And then when we look at the occupancy year-over-year decline in the second quarter of roughly 2 percentage points, I know some of that was related to renovations, some was new supply. Would you put the break out of that 2%? How much would be renovation and how much would be supply, just kind of a guess?
John Murray: There was a dip during -- a pretty decent dip during May in occupancy at the Clift hotel associated with the conversion from Morgans to Sonesta. But I would say that coupled with renovations was probably –
Mark Kleifges: Yeah. So on the comparable portfolio, occupancy was down 0.4 points; in the 20 non-comp , it was down 20 or so points.
John Murray: Did that answer your question?
Bryan Maher: Yeah. It did Thank you. On the Wyndham agreement, that seems to continue to be pretty soft. What are your thoughts there for those 22 hotels? At what point do you come to the conclusion that things aren’t getting really better and you want them to and maybe it's time to think about a change. I mean, clearly, you guys have put in place Sonesta for those types of purposes many years ago. What is the thought process internally on Wyndham? How long does that get the drag on?
John Murray: Well, we have an agreement with Wyndham, which they are living up to, or both sides are living up to. So there’s no unilateral right to do something different there. I think that the properties that Wyndham started with and the properties that Sonesta started with, right after the last recession, were pretty challenged group of properties. And a couple of the properties in this portfolio are in markets like Houston and Dallas, where they’ve had some challenges between weakness in the energy sector and the effects of some significant natural disasters and hurricanes. I think we're giving them -- Wyndham the benefit of the doubt. I think, it falls back to there being two main properties, Chicago and Hamilton Park in New Jersey that make up about half of the performance of that portfolio. And on the revenue side, the New Jersey property is ramping up well. This past quarter, it had some issues on the expense side that needed to be worked out. I think that long story short, now that Wyndham has their spin off done and now that they have their acquisition of La Quinta done, they have the ability to be a little bit more focused and I think that they have, because of the larger scale, they have more levers to pull in terms of trying to apply different strategies to the Hawthorns than the full service hotels to improve performance. So I'm optimistic that we're going to see things get better at the Wyndham portfolio in the second half, and I think that if Wyndham felt differently about it, then they wouldn't -- they would be taking a different approach rather than just operating and continuing the way they have, so we're optimistic that we're going to turn the corner there.
Bryan Maher: TA this week talked about ramping up growth through TA Express properties, which I'm sure you know will be slightly smaller versions of what they have now. How interested is HPT in getting involved in the TA Express business and helping that to grow?
John Murray: We don't presently have an interest in investing in TA Express properties. We haven't even seen one yet. We're not really -- we're not looking at TA sites generally. We’re looking at -- to the extent, we're looking to do more than complete the renovations in our hotel portfolio than we're looking at hotel acquisitions where we can do add-ons and try to improve existing portfolios. So my impression is that the hope that TA is that -- while they may own some of those smaller scale travel centers that that’s going to be a bit of an engine for a franchising push. So –
Operator: [Operator Instructions] And the next question comes from Michael Bellisario with Baird.
Michael Bellisario: Just on the two hotel acquisitions, could you maybe provide the underwritten EBITDA multiples or cap rates that you guys expect there in year one?
John Murray: Yeah. We underwrote the Radisson Blu, it was about an 8% cap rate on projected 2018 EBITDA. And the ES Suites was underwritten, but I mean, the Staybridge Suites, I’m sorry, Baton Rouge was underwritten with about a 10.5% cap rate on 2017 actual cash flow.
Michael Bellisario: And then just on your one Hawaii property and that agreement, can you maybe specifically, anything changed your thinking now that that hotel is finally above 1 times coverage for the first time in four years?
John Murray: I mean, we're very happy to see it above one times coverage after quite a bit of time. I think a lot of that is driven by the volcano on one island, essentially shutting off tourism there. Also increased airlift, which has definitely helped our hotel and I think the fact that there's a number of resorts in the Caribbean that remain closed has also caused more travelers from a – particularly from the East Coast to the United States to decide on Hawaiian vacations. So, I think there's several different reasons why the performance has improved. I think Marriott has done a good job managing the hotel this year, no question about it and their increased scale from having where is also beneficial. Whether that is a long term change or just a shorter term phenomenon remains to be seen. But in terms of the relationship between Marriott and HPT, we’re in continued discussions regarding the future of that property and, but no resolution has been found yet.
Michael Bellisario: And then I assume there's no major impact as yet from M&A that’s going on currently on the Marriott side?
John Murray: No impact from that.
Operator: Thank you. And as there are no more questions, I would like to return the call to John Murray for any closing comments.
John Murray: Thank you very much for joining us today. We look forward to seeing some of you soon.